Operator: Good morning, and welcome to Wesdome Gold Mines Third Quarter Financial Results Conference Call. I will now hand the call over to Heather Laxton to begin today's call. 
Heather Laxton: Great. Thanks operator. Good morning everyone. As we get underway here, we'd just like to remind everyone that during this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could cause outcomes to differ materially due to a number of risks and uncertainties, including those mentioned in our detailed cautionary note contained in yesterday's press release and in the company's management discussion and analysis dated November 10, 2021. Both documents are available on our website and on SEDAR. Please note that all figures discussed on this call are in Canadian dollars unless otherwise stated. The slides used for this presentation and a recording of this call will be posted on the company's website. And now it's over to Lindsay Dunlop, Vice President of Investor Relations.
Lindsay Dunlop: Thanks Heather. Speaking on the call today will be Duncan Middlemiss, President and CEO.
Duncan Middlemiss: Good morning. 
Lindsay Dunlop: Scott Gilbert, CFO.
Scott Gilbert: Good morning.
Lindsay Dunlop: Marc-André Pelletier, COO.
Marc-André Pelletier: Good morning.
Lindsay Dunlop: Mike Michaud, Vice President Exploration.
Mike Michaud: Good morning.
Lindsay Dunlop: And also on the call is Raj Gill, VP Corporate Development. 
Raj Gill: Good morning.
Lindsay Dunlop: We will begin today with an operational review from Marc-Andre, followed by a financial review from Scott. Then we will proceed with an exploration update from Mike. And finally Duncan will conclude with a summary and outlook. Marc please go ahead.
Marc-André Pelletier: Thanks Lindsay. The Eagle River mine performed very well during the quarter, producing over 23,000 ounces at 13.4 grams per tonne despite some significant downtime for annual mill maintenance and the installation of the new cone crusher. Year-to-date, the Eagle River Complex has produced 76,773 ounces and we are very confident in hitting the mid to high point of the 92,000 to 105,000 ounces guidance range. We are very excited to begin the production for the Falcon 7 Zone on 635-meter level. It provides a new high-grade mining horizon, near 20 grams per tonne and creates more flexibility in the mining plan for the future. Mishi production came from the surface ore stockpile and will continue in the first half of 2022 until the depletion of the stockpile. At Kiena, the production restart is going well with initial production from the mine's original structure, the lower-grade S50 zone, yielding 5,511 ounces. We started mining the first stope in the A Zone in early Q4 and grade A Zone is reconciling with expectations. We expect to achieve yearly production guidance at Kiena of 15,000 to 25,000 ounces. We will continue to ramp up production rates in 2022, achieving full commercial production rates in Q2 2022. Several construction works are ongoing at the mine such as improvement work at the Tailing Management area, construction of a new paste plant and the installation of a new water treatment facility. We are very happy with the progress we have made so far on those particular projects. Now over to Scott for a financial review.
Scott Gilbert: Thanks Marc. At Eagle River, the year-to-date cash cost of CAD983 per ounce and AISC of CAD1,406 per ounce are within our guidance ranges. The AISC at Kiena of CAD1,891 per ounce results from the low production levels as the mine is ramping up production. Due to a change in IFRS standards, all pre-commercial revenue and costs will be included in the income statement. Once commercial production is declared AISC is expected to be in line with the cost of the PFS. Wesdome generated CAD35.3 million in cash margin in Q3 2021, which includes CAD34.2 million from Eagle River. Despite the high cash cost at Kiena, it also contributed CAD1.1 million of cash margin. Company-wide adjusted net income was CAD18.2 million or CAD0.13 per share. Free cash outflow was CAD9.1 million as we spent CAD41.1 million on capital, which include CAD27.5 million for the Kiena restart. The bulk of the Kiena CapEx spending will be finished in H1 2022. We ended the quarter with a cash balance of CAD69.5 million and are well positioned to fund all CapEx programs and exploration activities at both Eagle River and Kiena. The Kiena restart has been fully funded internally. Now, over to you, Mike.
Mike Michaud: Thanks, Scott. At Eagle River, sill development is continuing at the Falcon Zone and to date has confirmed the high-grade nature of this zone and the continuity defined by the exploration drilling. In September, we released the initial set of sill results, including 62-meter level that yielded 54 grams per tonne over an average thickness of 2.1 meters over a strike length of 75 meters. This development will bring another high-grade mining front at a reserve rate of over 20 grams per tonne and production has already begun in Q4. The Falcon 7 Zone confirms the potential of the surrounding volcanic rocks to host sizable deposits and gold mineralization. As such, the company is continuing to develop and explore the neighboring 311 West Zone. To this end, we started the development on 355-meter level exploration drift, located along the western margin of the mine to better explore the extension of the 311 Zone and also the Falcon Zones closer to surface. Also, surface drilling is ongoing with two drills, both east and west of the mine to follow up on anomalous values returned from regional drilling program in 2020. At Kiena, drilling continued to focus on the A Zone and recently discovered Footwall Zone. Drilling has been slower than usual as a result of the industry-wide shortage of skilled drillers. However, we have since implemented measures in order to improve drilling performance going forward. The Footwall Zone is interpreted at several lenses of gold mineralization located within the 50-meter wide corridor adjacent to the footwall of the A2 Zone. The Footwall zone runs parallel to the A Zone and extends at least 300 meters and remains open laterally and down plunge. Recent drilling returned 20 grams over nine meters of core length. Additionally, the recent drilling inside and outside of the current A Zone resource block model, shows the potential to expand the current resource estimate, one hole returning, a 132 grams per tonne gold over 7-point meters of core length. As part of our efforts to increase exploration, we have also moved to diamond drill on to 33-meter level on the east side of the Kiena mine. This is to better explore a number of historic showings that remain underexplored. We are also pleased with initial surface exploration that returned over 1,500 grams per tonne over 0.5 meter from the Presqu’ìle zone. We have now extended the existing mineral resource in this area to a depth of over 300 meters from surface, and is now located only 400 meters away from existing mine infrastructure. The drilling in the Shawkey area discovered a new zone called Bourgo which is perpendicular to the general northwest-southeast trend. It consists of quartz veins with a similar north trend in orientation of the nearby Kiena Deep A Zones. Any near-mine resource has the potential to add additional mill feed. Over to you, Duncan.
Duncan Middlemiss: Great. Thanks, Mike. This is a very exciting time in the company's evolution from junior to intermediate gold producer. At Eagle River, we have our sights set on increasing our underground high-grade production in order to reach the mill capacity in the short term. So far this year, we have realized an average underground production rate of 650 tonnes per day of 13-plus gram material. In 2022, this will ramp up to just above 700 tonnes per day. The Falcon Zone discovered just a few years ago outside the mine diorite, now has its first stope in production, where the reserve rate is almost 20 grams per tonne. This area is not bottlenecked with production restrictions. And with additional Falcon stopes coming online throughout 2022, this will enhance our ability to gradually increase our annual mining rates. Beginning next year with all production in Wawa coming from the high-grade underground mine, we can expect production of over 100,000 ounces per year. With our construction and development progress at Kiena, we can see a pathway to an additional 100,000 ounces plus per year. The execution of the plan laid out in our Kiena pre-feasibility study is going well and we view this technical report as a base case, with the Footwall discovery not yet a part of the production scenario. I believe the derisking of the company with an additional high-grade underground gold mine in the Tier one jurisdiction is a remarkable event on our path to becoming Canada's next mid-tier gold producer. We have just now mined our first stope in the A Zone with very good results with regards to dilution control. The plan is to continue mining the A Zone with another four high-grade stopes to come prior to year-end. Our ramp-up with manpower and equipment is going well and especially in a challenging and competitive environment. As stated earlier, we fully expect our unit cost to reduce at Kiena, as we assume the production profile laid out in our PFS published in June of 2021. As a reminder, projected costs from the Kiena PFS or cash cost per ounce of CAD 471 per ounce and all-in sustaining costs of $838 per ounce, not including exploration. I also want to personally thank our friend and colleague Marc-André Pelletier, who was elected to depart Wesdome for a CEO role. Marc joined the company in February of 2017 has done a great job in optimizing Eagle River to 100,000 ounces of annual production and overseeing the exploration, development, technical studies and now start up at Kiena amongst all of the additional duties he carried out over the past five years. I have personally worked with Marc off and on for nearly 13 years and I can honestly say, each day was enjoyed, as I always knew our operations were in capable hands.  I will now open the call up for questions.
Operator: Thank you.  And our first question is from Don DeMarco of National Bank Finance. 
Don DeMarco: Well, thank you operator and good morning, team. First off, I'd like to congratulate Marc on his new role. It's -- you've done a great job at restarting the Kiena mill, increasing production at Eagle and I wish you continued success. My question then is, when we look at your cost guidance for the year and I think its $980 to $1,090, so should we think of that as inclusive of the Kiena pre-commercial production, or should we just wait until the -- or should we exclude it and wait until Kiena's into commercial production before wrapping it into our cost averages?
Duncan Middlemiss: Yes, absolutely. Hey, Don, it's Duncan. No, absolutely, that is Eagle River ounces only.
Don DeMarco: Okay.
Duncan Middlemiss: We were just -- the guidance we gave for Kiena after it became sort of firmer with the PFS progress during the year was 15,000 to 25,000 ounces. We feel very confident on that. We did not provide cost guidance. I mean, this whole -- 
Don DeMarco: Yes.
Duncan Middlemiss: My favorite accounting standard is not IAS 16, I'll just let you know that. I mean, the fact that we no longer credit preproduction with revenue from those ounces and have to disclose what that would be on an all-in sustaining cost is kind of misleading, because obviously -- 
Don DeMarco: Yes.
Duncan Middlemiss:  -- we're not really at -- I mean we only sold 3,000 ounces also of Kiena. So actually what was remarkable is we still made money on them. So...
Don DeMarco: Yes. Actually, it's not bad. I mean, that's actually not about AISC for your first quarter production and it was a low volume of ounces. So, yes, we look forward to Q4 and Q1 and so on.
Duncan Middlemiss: Yes. Stressing pre-commercial too. We have not declared commercial production. We really feel we're going to do that in the second quarter of 2022, Don, when the paste fill plant gets commissioned and we have sort of, I'd say, a steadier state in terms of production.
Don DeMarco: Okay. So for 2021, at Eagle, you're sort of approaching the top end of your production guidance. Next year, we can look forward to a higher throughput, 700 tonnes per day plus. Are there any indications what kind of throughput we might expect out of Kiena for the first year?
Duncan Middlemiss: Yes it's very much like the PFS.
Marc-André Pelletier: Yes. Don it's going to be between 450 to 500 tonnes per day. So very close maybe slightly higher than the PFS.
Don DeMarco: Okay. Good to hear. And so we're looking at the CapEx spend on Kiena. And now that you're into first production should we throttle back our CapEx spend in Q4? Do you think you're through most of the CapEx budget in the Kiena restart? 
Duncan Middlemiss: No, I don't think so no. We'll have -- we'll still have good capital outlay, I'd say in Q1 and Q2. Of course, probably say, we're organically funded. I mean, we've got CAD 69 million in the bank and a line of credit, which I don't believe we'll ever touch so that's fine.
Don DeMarco: Right. Right. And the cash balance is actually up quarter-over-quarter. Okay. Great. That's all for me. Thanks guys.
Duncan Middlemiss: Great.
Operator: And our next question is from Ralph Profiti of Eight Capital. Your line is open.
Ralph Profiti: Okay. Great. Thanks, operator. Good morning, Duncan. And best wishes and luck to Marc-Andre in the future. Duncan, I want to ask you about this 311 West and I'm taking a look at it. And I'm just wondering how should we be thinking about it? Is this part of the story where we can start to connect the 7 Zone and the Falcon Zone, or are we testing targets into the volcanics? And how far west are we going to be testing targets?
Mike Michaud: It's Mike here. The 311 parallels the 7 Zone in the diorite and then the Falcon 7 zone of course we know now that it joins with the old 7 Zone in the mine. So right now we've been having some pretty good success extending the 311 Zone through the diorite into the volcanics. And we're testing this. We think it's going to be parallel to the seven -- the Falcon 7 Zone as well. So this is why we're putting in that 355-meter level development in. First, it's going to be so we can drill off this new 311 -- Falcon 311 Zone right now, and also the 7 Zone and then we can use that development for mining later. And -- but what I like about it is, because now we have two zones in the volcanics in that area that are up are higher elevations in the mine that really debottled things at the bottom part of the mine. But also that development, which is going to go about 500 meters west of the diorite puts us out into the volcanic, so we can drill more targets from there. And certainly, we see the 8 zone extending out there we see the 5 zone extending out there. And we had some pretty good hits out there with the surface drilling already. We still have a lot more drilling to do, but I think that area looks really good to us. So we're going to definitely spend a lot of effort out there this year.
Ralph Profiti: Okay. Great. Yes. That's exactly what I was looking for. Okay. And should we -- second question, should we expect the Footwall Zone in the year-end resource update? And would it be most correct to assume that you'll probably only be able to get 300 meters of down plunge extent into that estimate?
Mike Michaud: Yes. That's -- we certainly -- our goal is to get all of that 300 meters of Footwall Zone into a resource, I would say, just because of the slower drilling that's been done there, a, because we've had a shortage of some drillers, which we've kind of fixed in that problem now. But it's also -- because it steepens at a bad angle, these long hauls has slowed down the number of drill intersections as well. We certainly are planning to put in a new exploration drift into the footwall, so we'll be able to drill it off and drill off its extension next year. But for the end of this year, we're going to certainly try to get all those ounces in albeit inferred. We may not get them all, but we're certainly -- that's our goal. I mean we like the zone. We keep drilling into it and hitting gold there. So, we're pretty happy to see how it's -- how big it's going to get and then how we can then incorporate into the mine plan. But a lot of that, sort of, the confident grades and tonnes there probably won't come until maybe next year after we've got the new waste development in the hanging wall so we can drill it off properly.
Ralph Profiti: Yeah. That's excellent. Okay. Thanks all.
Duncan Middlemiss: Yeah. I think one of the issues we have here is, because the ramp as it extends down deeper, we're going to get better and better drill platforms. And so really just alluding to what Mike said, I mean it's definitely sort of a down-dip drilling at a non-ideal angle. You definitely want to get a lot more perpendicular to the zone to truly understand its characteristics. So, I think that that footwall just a little long way to help us with that.
Operator: Thank you. And our next question is from Ryan Walker of Echelon Partners. Your line is open.
Ryan Walker: Hi, guys. Just back to the drilling. So you had fairly aggressive or very aggressive programs planned for both mines, where would you say you are in the grand scheme of thing relative to the initial goals? And then, I guess what's in the hopper essentially for results yet to come out there in the lab and we've heard from everyone in their own call that lab delays are pretty extensive right now?
Mike Michaud: Yeah. We're certainly -- we've done well with surface drilling I would say, over the last few months at -- both Eagle and Kiena. That's why we're able to extend Presqu'ile in that new Bourgo Zone. So we're happy about that. Underground at Eagle, the drilling is coming back online. I would say that the aggressive plan we had for exploration this year, when the drilling meter started to fall short because of the COVID and whatnot, we kind of pulled in our horns and said let's get our -- let's replace our ounces first that we're going to mine out this year. So we kind of cut back a little bit on the underground exploration at Eagle. Certainly on the Kiena side, it's been a bit of a challenge. We've certainly made some changes, and we're going to continue to drill off that Footwall zone there.
Ryan Walker: Okay, great. And then just in terms of -- is there stuff in the lab now that we'll see over the next several weeks in the interim?
Duncan Middlemiss: Yeah. We've had some results back from the Kiena footwall zone. So we might be making a release on that later, maybe before Christmas. Certainly we have some hits to Eagle that we want to probably get out there within the next few weeks here as well. But yeah, we do have some results coming. And I think with the slow part we went through in the summer with the drilling problems, I think that that's getting corrected now. So, we'll have more steadier news flow as we go forward here.
Ryan Walker: Great. Thanks. That’s it for me.
Duncan Middlemiss: Great. Thanks, Ryan.
Operator: Thank you. And there are no further questions at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.
Duncan Middlemiss: Thank you.